Operator: Greetings. Welcome to the Vera Bradley Third Quarter Fiscal 2025 Earnings Conference Call. At this time all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now market pleasure to introduce your host, Mark Dely, Chief Administrative Officer. Thank you, you may begin.
Mark Dely: Good morning and welcome everyone. I'd like to thank you for joining us for today's call. Some of the statements made during our prepared remarks in response to your questions may constitute forward-looking statements made pursuant to and within the meaning of the Safe Harbor provisions of the Private Securities litigation reform act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from those, that we expect. Please refer to today's press release and the company's most recent Form 10-K filed with the SEC for a discussion of known risks and uncertainties. Investors should not assume that, the statements made during the call will remain operative at a later time. We undertake no obligation to update any information discussed on today's call. I will now turn the call over to Vera Bradley CEO, Jackie Ardrey, Jackie?
Jackie Ardrey: Thanks, Mark. Good morning, everyone and thank you for joining us on today's call. The third quarter was extremely challenging, as we remained in the early stages of project restoration, our strategic initiative to transform our business model and transition Vera Bradley's brand positioning. We have made meaningful adjustments to our assortment and value proposition, in response to customer feedback. With the current consumer mindset focused on value, we have more work ahead of us, on our repositioning journey that I will talk to you later. I am pleased to report that, we're seeing steady progress with several green shoots late in third quarter, which have continued into the fourth quarter to date. We have modestly adjusted our promotional strategy to deliver an improved value proposition and are seeing better results, but we remain committed to driving shareholder value, through improved brand resonance and reduction of low-margin revenue. With the launch of our holiday assortments late in third quarter and the careful strategic promotional adjustments we executed, we experienced a steady trend line improvement across the majority of our Vera Bradley direct-to-consumer channels. We are seeing strong customer response to heritage prints, key giftable price point products and continued success in elevated price point offerings like leather. We experienced a marked improvement in our brand awareness and equity scores in the quarter and we continued to broaden our reach with younger and higher-income household consumers. Recognizing the need to address our value proposition, in November, we made the strategic decision to selectively post value pricing offers to drive continued shopper engagement across our branded and outlet channels. I'm pleased to report that, the response has been strong with our revenue modestly exceeding forecast over the Black Friday weekend through Cyber Monday week and at higher margins, as discounting levels for each channel remained below the prior year. Product highlights over the initial holiday period included strong selling from our Wicked collection, Disney IP and key price point items under $50 designed for gifting. I want to shift gears and spend a moment on our intended and dramatic reduction in non-go-forward clearance units from our branded channels. We had expected those clearance unit sales to successfully migrate to our outlet channels. That was not the case, and as a result, we experienced a meaningful sales impact in Q3. To be clear, these are highly-discounted, low-profit units that are not reflective of our repositioning efforts. Although the clearance bucket will partially refill over the next several quarters, our overall reduction in SKUs coupled with a more disciplined buying practice will enable us to drive significantly higher profitability on our clearance units, while not impeding our brand repositioning journey. Vera Bradley's gross margin expanded 80 basis points in Q3 from reduced liquidation and clearance mix. Importantly, we remain committed to driving shareholder value through brand elevation and a continued reduction of low-margin revenue, which is reflected in our Q4 guidance that Michael will detail shortly. Shifting to Pura Vida. The third quarter highlight was the successful opening of our store at Disney Springs, which is off to a great start. We continue to experience outsized performance in our Pura Vida store fleet, while high e-commerce acquisition costs have remained an e-commerce channel headwind. Let me provide more detail on our progress with project restoration for Vera Bradley. I'm particularly encouraged by several key achievements in our brand metrics, including our first awareness increase, since 2021, showing a 700 basis point increase in our Ipsos data. We've also made meaningful gains in brand attributes building equity and being seen as stylish, colorful and fun. Our customer acquisition efforts are also showing promising results. Our target demographic of 35 year to 54-year-old customers has increased by 9 percentage points and we're seeing a 7 point increase in higher income customer acquisition. This validates our strategy of appealing to more broad and affluent customer base. Regarding our direct channel performance, we're seeing differentiated results across channels. Our e-commerce business is outperforming stores and our online outlet is showing particularly strong performance. While we continue to face traffic and conversion challenges in our branded channels, we're encouraged by the progress in our product and pricing strategy. We're successfully implementing lower discounts across channels. Finally, for our outlet stores, we are continuing to test a number of pricing and merchandise initiatives to improve traffic and conversion. In our product assortment, we've seen strong reception in heritage prints and success in key price point gifts. We've also identified and addressed several style execution opportunities, making adjustments, based on customer feedback, the majority of which will be available in early February. These include modifications to strap lengths, pocket configurations and closure types, changes that will better serve both new and existing customers. In our transformation efforts focused on the channel pillar, we generated strong performance in Q3 with Urban Outfitters. Our partnership expanded significantly for holiday, both in stores and online, and we're seeing strong continued selling momentum. I'm most excited about the promising discussions with many brands that we're having across categories for future partnerships, which creates an exciting opportunity to attract new customers to the new and improved Vera Bradley offering. We've also been working hard to refine -- redefine how we approach inventory sourcing, procurement and management, an integrated process involving several teams within the organization. I'm especially pleased with the progress this team has made in a short time, delivering a tighter SKU assortment, more disciplined inventory management and material sourcing improvements that enabled our ability to react quickly to consumer feedback, as I mentioned earlier. As we look ahead to the remainder of the year, we're seeing some early positive indicators, but we remain prudent in our outlook, given the broader market environment. We continue to manage the business with strong financial discipline, maintaining our debt-free position and focusing on operational improvements. In closing, I want to acknowledge that while this is a challenging period of transformation, we remain confident that Project Restoration is the right path forward for the long-term health and positioning of Vera Bradley. The combination of our trend line business improvement, the upward trajectory in brand scores, our broadening consumer reach and the new inbound interest generated for brand right collaborations validates our strategic direction. We all remain dedicated to returning the company to long-term profitable growth and creating value for our shareholders. Finally, I want to thank our talented teams across the organization for their commitment to our brands, and to each other during this transformational period and wish everyone a happy holiday. I'll now turn the call over to our CFO, Michael Schwindle to review our financial results in detail.
Michael Schwindle: Thanks, Jackie. Good morning, everyone, and thank you for joining us. I will open this up for some questions in a few minutes, but first we'll cover the results for the quarter as well as briefly discuss our updated guidance for the year. For the sake of clarity, all the numbers I am discussing today are non-GAAP and exclude charges as outlined in today's press release. A complete detail of items excluded from the non-GAAP numbers as well as a reconciliation of GAAP to non-GAAP numbers can be found in that release. For the third quarter, our consolidated revenues totaled $80.6 million compared to $115 million in the prior year third quarter. Our net loss for third quarter totaled $7.5 million or $0.27 per diluted share compared to a net income of $6.1 million last year or $0.19 per diluted share. In terms of segment performance, Vera Bradley Direct segment revenues for the current year third quarter totaled $52.5 million, 27% decrease from $72.3 million in the prior year third quarter. Comparable sales similarly declined 27% with the largest impact in the outlet channel, which continues the challenges similar to prior quarters. Total revenues year-over-year were also impacted by five store closures. We did open five new outlet stores during the quarter, with four of these just two days before the end of the quarter. Another two outlet stores also opened about two weeks into our fourth quarter. While the third quarter impact from late quarter opens was negligible, we are very pleased with the sales performance of our new outlet stores to-date and we look forward to continued success in the coming years. Vera Bradley Indirect segment revenues totaled $18 million a 28% decrease from $25 million in the prior year third quarter. The decrease was related primarily to a decline in specialty and key account orders as well as a decrease in liquidation sales. Segment revenues were also impacted by approximately $1.2 million of anticipated orders that experienced a slight shipping delay at the end of third quarter, but will benefit fourth quarter. Pura Vida segment revenues totaled $10.1 million, a 42.9% decrease from $17.7 million in the prior year third quarter, primarily due to declines in e-commerce and wholesale revenues, partially offset by new retail stores. Similar to what we have stated on prior calls, in response to rapidly rising digital marketing costs that began in late third quarter last year, the Pura Vida team remains focused on marketing efficiency, as well as digital marketing diversification. Non-GAAP third quarter gross margin totaled $43.6 million or 54.1% of net revenues compared to $63 million or 54.8% of net revenues in the prior year. The year-over-year margin rate decline was driven by incremental promotional activity at Pura Vida, while Vera Bradley experienced an 80 basis point margin rate improvement over last year, as Jackie described earlier. Non-GAAP SG&A expense totaled $51 million or 63.2% of net revenues, compared to $55.1 million or 48% of net revenues for the prior year third quarter. The current quarter expenses were lower than the prior year by 7.4% and are primarily due to cost reduction initiatives along with some reduction in variable-related expenses from the lower sales volume. We continue to closely examine areas of our organization for process, as well as cost opportunities, and our teams are increasingly diligent and attentive to cost management. The third quarter GAAP consolidated operating loss totaled $7.2 million or 9% of net revenues, compared to an operating income of $8 million or 7% of net revenues in the prior year. Now turning to the balance sheet. Our quarter end cash and cash equivalents totaled $13.7 million compared to $52.3 million at the end of last year's third quarter. We continue to have no borrowings on our $75 million ABL facility at quarter end. Total quarter end inventory was $131.3 million compared to $129.1 million at the end of last year's third quarter. Now relative to prior years, we did have an inventory receipt acceleration of approximately $10 million from fourth quarter into third quarter, which increased inventory and decreased cash relative to the prior year, but this will reverse in our fourth quarter. We have been intensely focused on redefining how we approach inventory acquisition and management and continue to take strategic actions on our merchandising and processes to improve both product flow and quality. As Jackie noted earlier, we are very pleased with the progress that our merchandising, our planning and our sourcing teams have made to drive these changes. These efforts have already meaningfully impacted our ability to navigate this year, and it will continue to drive improvements as well as reduced inventory levels into the future. During the third quarter, we also repurchased approximately $5.3 million of common stock, which was approximately 1 million shares at an average price of $5.50. This brings the total repurchase for the nine months to date to approximately $21.2 million. At the end of the quarter, we had approximately $4.4 million remaining on our $50 million repurchase authorization, which expires this month. In anticipation of this expiration, our Board of Directors has approved an additional $30 million repurchase authorization, which commences at the expiration of the current authorization and extends for three years. The company does not currently plan to purchase under the 2024 share repurchase program, but anticipates utilizing the newly-approved share repurchase authorization in the future, depending on market conditions as well as company's cash position. Finally, I'd like to go through our revised guidance for fiscal 2025. As a reminder, all of our forward-looking guidance is on a non-GAAP basis. And as a point of context, please keep in mind that, the current year represents a 52-week year, while the prior year as reported was comprised of 53-weeks. In light of the current business trends, the continued macro and consumer spending uncertainty and the anticipated length of time to bear the fruits of project restoration, we are planning and managing the business through a conservative lens for the balance of this year. We have been actively assessing a number of responses to the environment and are evaluating several operational changes to the organization, which will both streamline our cost structure and improve our flexibility and responsiveness. For the full year of fiscal 2025, we expect consolidated net revenues of approximately $385 million. Vera Bradley overall sales year-to-go are expected to decline in the mid-teen range, a sequential improvement in Q4 over Q3. As Jackie noted, we continue to see improvement in several areas of the Vera Bradley business, such as our digital channels, but expect to see continuing trends in comparable stores, as well as in Pura Vida, partially offset by new store growth in both brands. We expect our gross margin for the year of approximately 52.5%, compared to 54.5% in fiscal 2024. The decline in gross margin rate is driven by increased promotional cadence in our Direct segments in the first half of the year, along with increased liquidation sales year-to-date, partially offset by product cost improvements and lower supply chain costs. Consolidated SG&A expenses is expected to be approximately $213 million, compared to $234.7 million in fiscal 2024. Year-over-year SG&A expense reductions are the result of continued structural cost reductions across many aspects of our business, along with decreased variable costs. All of this is expected to result in a consolidated operating loss approximately $9 million, compared to an operating income of $22.2 million in fiscal 2024 on a 52-week basis, along with EPS loss of approximately $0.25 per share compared to $0.54 per share EPS income last year on a 52-week basis. We also expect net capital spending of approximately $13 million versus $3.8 million last year. This spend reflects investments associated with new and remodeled stores, as well as technology and logistics enhancements. As a reminder, this level of spend represents a high watermark associated with project restoration, along with new store development that I previously discussed. Wrapping up our guidance here. We expect continued progress on disciplined inventory management, such that our end-of-year inventory is expected to be 5% lower than last year end's level, which at that time had decreased17% from the preceding year. On a unit quantity basis, our year-end inventory will be approximately 10% below last year. As a result, we expect end-of-year cash to be approximately $35 million, which reflects these guidance comments along with the share buyback activity, that I noted earlier. And that concludes our prepared formal remarks. Operator, can you open up the line for questions, please?
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Eric Beder with SCC Research. Please proceed with your question.
Eric Beder: Good morning. So, I want to talk a little bit about the store openings and how you feel that piece starts to flow and I know you just opened the full-price store in Natick. How should we be thinking about that going forward, as you kind of move through in terms of Project Restoration?
Mark Dely: Great question. Thank you, Eric. I think, as we look at the store openings, we have seen opportunities within the national outlet fleets that mostly Tanger and Simon have to continue to expand our footprint there. The outlet stores that we have opened are in the Simon Premium outlet portfolio, where, we think there's a great alignment there as they continue to work to innovate at their properties, and we're very excited about those opportunities. So, we feel very good about that. In terms of the branded store opportunities, we're being admittedly very cautious. We saw an opportunity to return to Natick, and we saw that as a great opportunity, and we went ahead and moved back into that space. So, we're excited to see how the consumer re-engages with us in that area -- in the Boston area.
Jackie Ardrey: I think, Eric, just to add to we talked a little bit today and more expansively about some of the operational improvements that we're pursuing across the portfolio. That certainly includes our store outlook. So, as we're opening these new stores, we're looking at some new operational models that we expect to help us improve performance.
Eric Beder: Okay. And when you look at, I know, we're still in the early innings here with Project Restoration. When you look at kind of winning pieces and losing pieces, how should we be thinking about it when we step above it here? Is the newer customer spending money differently than the prior customer and kind of the spacing between one making up for the other? How does that kind of look? And I guess the other question is, how do collaborations kind of work in the new world? Obviously, you have Wicked, it came through, you did a Disney collaboration after Project Restoration. How should we be thinking about that as a potential traffic driver and margin driver going forward? Thank you.
Jackie Ardrey: Yes. Thanks, Eric. That's a great question. So, some of the green shoots in Project Restoration that we're building on right now are about first attracting this new customer, who is younger, more affluent, and the most important part of this is that, the customer acquisition is happening at lower discount levels. So that's the key here. That's certainly going to take more time to play out, but that's an important green shoot in project restoration. There's also a real top-of-the-funnel effect, that happened here and we're really encouraged by this. Our brand awareness and sentiment scores increasing as much as they did in such a short time is an important part of our story and it's the very beginning part of the story, but it's an important part of the story. We've also made this progress in the 35 year to 54-year-old, that's again a key part of the strategy. And then, the collaborations, both with the outside properties and IP like Wicked, first of all, those are about kind of being in culture. And so, being able to continue to expand our brand awareness and be where the customer is. So that's really important. We're continuing to evaluate how those properties can live in both outlet and in the brand channels, because she has some significant interest in those from us. So, we definitely also are looking at other partnerships and collaborations, like again, we've had this really successful one with Urban. There's the internal licensing and then there's the external collaborations that help us to expand our reach. So, we're really looking at how do we expand both of those, the internal and the external, to get the new customer at lower Eric.
Operator: [Operator Instructions]. Our next question comes from the line of Daniel Harriman with Sidoti. Please proceed with your question.
Daniel Harriman: Thank you. Good morning, Jackie. Thank you for taking my call and questions. Unfortunately, Eric's question was so strong and Jackie's response kind of hit on what my main points were going to be. But just Jackie and Michael, going back to the green shoots that we're seeing here, obviously, the environment is very difficult and has been for a couple of quarters now. But you've got your first awareness increase in three years. You're resonating more with that age cohort that you're going after and also seeing additional sales from that higher income consumer, which were all part of what you were going after with Project Restoration. In terms of timing, are you pleased with how quickly that feedback has gotten to you, or were you expecting a little bit sooner? And then just secondly, and again, you touched on this, but can you talk about any future partnerships that we could be expecting outside of Urban Outfitters? You touched upon that last quarter and then a little bit now. So, any information would be helpful. Thanks.
Jackie Ardrey: Sure. Yes. And we expected that question. What I want to say, what I want you to take away is that, first of all, we are disappointed in this result. It was a tough quarter, but we're really encouraged by the green shoots that we're seeing, all the ones that I've talked about, and we're taking those and really mining them in the organization to be sure that, we can learn all that we can, make the right pivots. I'm really proud of how quickly we've been able to adjust to all of the feedback that we've gotten from customers and from our selling data. We are really increasing our focus on improving operations, and then working these green shoots, the most important of which are the inbound interest that we're getting that I wish I could talk more about and specifically about, I just can't at this time. But we are getting quite a bit of inbound interest from other brands, which was not the case for us. So that is what I would like you to take away is that, that's another green shoot that we are really working internally. And the inbound amount of calls and partnerships from different brands across different categories is something that, we are -- we'll talk more about when we can, but that's what I would leave you with.
Daniel Harriman: Okay. Thanks so much, Jackie. And we just wanted to say, we enjoyed our recent store visit. We're impressed with the holiday collection and wish you all the best in the coming quarters.
Jackie Ardrey: Great. Thank you.
Operator: We have no further questions at this time. I'd like to turn the floor back over to Ms. Ardrey for closing comments.
Jackie Ardrey: Thank you. In closing, we remain committed to driving shareholder value through Project Restoration and look forward to sharing Q4 results on our next call. Thank you everyone.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.